Operator: Good morning, everyone, and thank you for participating in today's Conference Call to discuss MiX Telematics Financial Results for the Fiscal First Quarter 2024 ended June 30, 2023. Joining us today are MiX Telematics President and CEO, Stefan Joselowitz; and the company's CFO, Paul Dell. Following their remarks, we'll open the call for any questions you may have. I'd now like to turn the conference over to Mick Telematics' Chief Financial Officer, Paul Dell, as he reads the company's safe harbor statement regarding forward-looking statements. Paul, please go ahead.
Paul Dell: Thank you, and good morning, everyone. Before we continue, I'd like to remind all participants that during today's call, we will make certain forward-looking statements related to our business, which are subject to material risks and uncertainties that could cause our actual results to differ materially. For a discussion of the material risks and other important factors that could affect our results, please refer to those contained in our Form 10-K and other SEC filings, all of which available on the Investor Relations section of our website. We will also be referring to certain non-GAAP financial measures. There is a reconciliation schedule detailing these results currently available in our press release which is located on our website and filed with the SEC. With that, I would like to turn the call over to MiX Telematics' President and CEO, Stefan Joselowitz., Jos?
Stefan Joselowitz: Thank you, Paul. And good morning, everyone. MiX began fiscal 2024 with strong financial and operational results. We sustained our positive momentum and started the year with results ahead of our internal expectations. We continued to grow our subscriber base and on a year-over-year basis, constant currency ARR increased by over 15%, while our adjusted EBITDA margin expanded by 670 basis points. Our organization continues to perform well against a challenging macroeconomic backdrop. Following our achievement of reaching 1 million subscribers in Q4 of last fiscal year, we added over 40,000 net new subscribers in Q1. Our growing subscriber base drives a high-quality globally diversified recurring SaaS revenue stream, which positions us well for continued profitable future growth. Looking at our Q1 revenue in more detail, Subscription revenue comprised 89% of total revenue and was up nearly 16% year-over-year in constant currency, with 7% of the increase attributable to the FSM acquisition. Our results continue to be driven by strong performance within our Africa segment with particular strength across our asset tracking and light fleet categories. We are also seeing growing global demand for our MiX Vision AI camera solutions from both the new and existing customers. While current macroeconomic conditions continue to elongate our premium fleet sales cycles, we remain confident that our expanding global pipeline will further accelerate growth as economic conditions normalize. We're already seeing signs of this in the U.S. and in Europe. Our broad product portfolio provides a wide array of solutions for customers and drive significant operational value to their businesses. We help customers save money through achieving fuel and cost efficiencies that come from improved driving behavior. We made key contributions to our customer ESG initiatives by assisting with the reduction of their carbon footprint. Furthermore, a key driver of adoption of our premium solutions is safety. The combination of our real-time driver feedback and post-trip coaching tools dramatically reduces key driving risks such as fatigue, distraction and other dangerous behaviors. This premium fleet recipe transforms not only free performance but also saves the lives of drivers, passengers and other road users. During the quarter, we signed several large and important wins across different verticals and geographies. In addition to expanding market adoption of our asset tracking and light fleet solutions, our Africa team continued its success with seven significant new commercial fleet wins primarily within the transportation and energy verticals. these wins included over 3,500 additional vehicles in the region being equipped with at least one mix solution. Five of those new client wins included multiproduct contracts, such as pairing our mixed premium fleet solution with MiX Vision AI. This is a great testament to the exponential value our solutions provide when used in combination. In Australia, a transport company is deploying our trader [ph] tracking solution into more than 200 assets, which is in addition to the premium fleet solutions we already had in net trucks. In fact, the traded deployment displaced a competitor and our solution is working well for their 24/7 transport operations. We've also seen strong demand from our existing customer base to re-sign with MiX as we upgrade from 3G to 4G in that geography. One large oil and gas service company upgraded over 500 subscriptions for the assets and added additional subscriptions for our MiX Vision AI solution after seeing how we detect driver fatigue. Lastly, we've added multiple new logos in Australia from the mining sector, which demands best-in-class driver safety solutions. The expansion of a major U.S. fast food retailer accelerated in Q1 with significantly more franchisees coming on board, signaling great momentum for the remainder of the financial year. We also had considerable success with –MiX Vision AI upsells into existing customers, while a major U.S. client expanded their subscriber base with us by adding over 500 new connections. And in June, our Europe region had its highest month of new business orders placed since October 2021. During the quarter, we continued to invest in technology as we consistently innovate our product portfolio to meet the evolving needs of our current and potential customers. We completed the development of an electric vehicle operations module to help customers manage their electric or hybrid fleets. This is especially critical in Europe and other regions where the trend towards fleet electrification is growing exponentially Exciting new video features were also deployed, making it even easier for customers to view, manage and act on the footage from our MiX Vision AI solutions. Turning to profitability and cash flow. We reported adjusted EBITDA of $8.7 million, up 44% from a year ago, with our adjusted EBITDA margin of nearly 24%, up 670 basis points compared to Q1 of last year. We are pleased with this result, which again underlines the scalability of our recurring revenue model. While unknowns continue to exist in the broader environment, we intend to continue executing on our strategy of balancing growth and profitability and expect further margin expansion and strong free cash flow performance during the remainder of fiscal 2024. We reported breakeven free cash flow and ended the quarter with cash and cash equivalents of $27.1 million. We continue to view our unleveraged balance sheet as a strategic advantage, particularly given our current M&A efforts. When it comes to our capital allocation strategy, we will continue to invest in product development and expanding our sales force while also pursuing strategic M&A opportunities. While I don't have any material updates on the latter today, know that we have a dedicated team that is constantly evaluating potential opportunities. Our leadership team and Board of Directors are deeply invested in growing the overall value proposition of our platform and are looking closely for accretive options that can enhance shareholder value. Looking ahead to the remainder of fiscal 2024, we are reiterating the guidance we provided on our last call. For the full year, we continue to expect that we can deliver mid to high single-digit organic ARR growth and an adjusted EBITDA margin north of 25%. We believe our balanced approach towards growth and profitability will drive our success as we continue to progress towards our goal of delivering consistent Rule of 40 performance in the medium term. Before I hand over to Paul, I would like to emphasize that we were pleased with our strong Q1 results and remain confident in our ability to continue growing and expanding margins over time as we execute on our strategy and benefit from an improved economic outlook. Paul?
Paul Dell: Thanks, Jos. Turning to our financial results for the first fiscal quarter ended June 30, 2023. The Total revenue increased to $36.4 million, an improvement compared to $35.1 million in the same year ago period. Subscription revenue increased to $32.2 million or 88.6% of total revenue compared to $31 million or 38.3% [ph] of total revenue in the same year ago period. The FSM business, which we acquired in the second quarter of fiscal 2023 contributed $2.1 million in subscription revenue during the quarter. On a constant currency basis, first quarter subscription revenue increased by 15.6% year-over-year of which 6.8% is attributable to the FSM acquisition. Most of our revenues are derived from currencies other than the U.S. dollar, like the South African rand. The strengthening of the U.S. dollar over the last year has decreased our overall reported revenues this quarter. The change in foreign currency exchange rates resulted in an 11.6% decline in our reported subscription revenues for the quarter. As we previously discussed, we knew there were going to be some temporary headwinds to our ARR growth this quarter with the expected churn on subscribers in our FSM business. Despite this, our ARR growth was still up modestly from the prior quarter and up 15% year-over-year on a constant currency basis. As Jos mentioned, we added 40,500 subscribers during the quarter compared to the same quarter last year, our total base increased by approximately 204,000 subscribers or 24%. The growth this quarter was primarily in the asset tracking and life fleet categories. Our gross margin in the first quarter increased 160 basis points to 63.6% compared to 62% in the same year ago quarter. Our subscription revenue margin increased 80 basis points to 68.3% compared to 67.5% in the same year ago period. As we previously discussed, we have identified a number of initiatives, including platform and carrier cost efficiencies, which we anticipate will result in the continued expansion of a subscription margin over the course of fiscal 2024. Adjusted EBITDA increased 44% to $8.7 million compared to $6 million in the year ago period. As a percentage of total revenue, adjusted EBITDA increased by 670 basis points year-over-year to 23.8%. Now looking at our balance sheet. We gained $5 million in net cash from operating activities and invested $5 million in capital expenditures, resulting in a breakeven cash flow compared to cash burn of $7.4 million in the prior year period. We ended the quarter with $27.1 million of cash and cash equivalent. Looking at our forecast payment schedules and investing activities, we expect significant cash to be generated in the remainder of the 2024 fiscal year. Before I turn the call over to the operator for Q&A, I wanted to reiterate the guidance we laid out on our previous call. As Jos talked through for fiscal 2024, we are targeting constant currency organic subscription revenue and ARR growth to be in the mid- to high single digits. Additionally, from a profitability perspective, we remain confident in our ability to generate an adjusted EBITDA margin above 25% for the full fiscal year. We believe we are well positioned to continue navigating the current environment while also investing in areas across our business that we believe will be long-term growth drivers for the company. We are looking forward to continuing to execute on our balanced approach to growth with a focus on continuing to expand adjusted EBITDA margins, while delivering strong free cash flows, which we believe will deliver enhanced value to our shareholders over the long term. This concludes our prepared remarks, and I'll now turn the call back over to the operator for Q&A.
Operator: Thank you, sir. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Matt Pfau from William Blair. Please go ahead.
Matt Pfau: Great. Thanks for taking my questions. Jos, in your remarks, you indicated perhaps that there was - or at least you are seeing some improvement in the U.S. and Europe. Maybe you can just give some additional details on those comments and what you're seeing in those regions?
Stefan Joselowitz: Yes. Thanks, Matt. And your observation is correct. We've seen improvement in this last quarter in both of those geographies and in fact as I mean, I think I specifically mentioned, Europe was our best orders - order quarter since 2021. And I wasn't specific about the U.S. but a similar kind of metric there, whilst we continue - whilst we did see an expected headwind in the U.S. from - from the churn of some FSM subscribers as the network transitions from 3G. We - in terms of our new orders placed, it was significantly higher than we've seen in probably the last five or six quarters. So definitely seeing an increase in momentum in both of those geographies.
Matt Pfau: Great. And then on M&A, I think it's been close to a year since you originally announced the FSM acquisition. Maybe just can you give us an update on how that has progressed relative to your expectations? And are you looking for additional transactions similar to FSM [ph] or something else?
Stefan Joselowitz: Yes, I guess it would be difficult to find something similar to FSM. It was a pretty unusual deal. Bear in mind, we - the structure of the deal is that we only pay for the subscribers that we convert on to new technology and that sign long-term fee minimum mixed contract. So we are progressing with that exercise. We certainly knew upfront. And I think we made that point when we announced the acquisition, we didn't expect to convert every subscriber and progress is running more or less in line with our initial expectations. So we knew that this quarter was going to be a particularly high quarter of churn because of the network transition. And so those customers that never upgraded the technology in fact lose service, we had that expectation. But by and large, it's been progressing according to plan. It's added scale to our U.S. business. And overall, we are pleased with it. But certainly, we continue to evaluate other opportunities. We have a dedicated team. We have an active pipeline of opportunities that we are looking for, and we're still committed to finding at least backup opportunities, particularly focused on our U.S. business, but we're open-minded to other geographies. And - and ideally, if something potentially transformative comes along, we'll take a serious look at it.
Matt Pfau: Great. Just last one for me on the functionality for electric fleets that you mentioned. Do you already have customers that are running a decent portion of their fleet with electric vehicles? And then when you're selling to fleets that are running electric vehicles, how do you sell it from an ROI perspective? Because typically, I think there's multiple points of ROI, but fuel savings is typically one that's a pretty significant component of that. So obviously, it's a little bit different with electric vehicles. So how do you sell that?
Stefan Joselowitz: Sure. So the answer to your first question is, yes, we do have customers that are running electric fleets. We have some customers that are exclusively electric. But the more common one is, is a mixed fleet that are running regular gasoline-powered vehicles, a portion of electric and/or hybrid vehicles and certainly part of our role is to provide customers with the tools, particularly customers that have - haven't made the transition yet or are partially into that transition to kind of work out the tipping point from a return on investment perspective, when it's viable for them to convert a specific - in the fleet array selection of vehicles in the fleet from gasoline to electric. I think I did allude on the call that Europe is much faster transition process than other geographies they're pushing, I think, as a geography they're pushing the conversion to electric pretty hard. And we've got some pretty cool tools to assist our customers both in understanding how to make or potentially work towards that transition or make the financial decision around that. And in terms of some of the technology updates we announced today, we've got some tools that help customers that do have electric vehicles to get relative and useful data out of our platform.
Matt Pfau: Great. Thanks for taking my questions. I appreciate it.
Stefan Joselowitz: I appreciate, you. Thank you.
Operator: Your next question comes from the line of Alex Sklar from Raymond James. Please go ahead.
Alex Sklar: Great. Thank you. Jos or Paul, I know you said in the prepared remarks, the majority of the subscriber growth came from asset tracking, light fleet. But was there any change with the prior kind of four to five quarters in terms of the mix of premium fleet. You called out some nice commercial wins. So just curious if you saw any sequential improvement there and any updated thoughts on that pipeline?
Stefan Joselowitz: Yes. So our asset tracking and light fleet performance in this last quarter was certainly overweight Africa. And we would expect that our product mix, so to speak, will remain weighted towards those two categories because it's the kind of channel interaction that we have in that geography and in others is that we're generally driving that through high-growth channels. So we would expect that the customer acquisition time is extremely short, and we would expect that to be an overweight part of our new subscriber adds. Having said that, of course, a big focus of our business, and I guess, the part of our business that gets the majority of our investment is on the premium fleet side. It's a global opportunity. And the ARPUs are significantly higher than they are, for instance, in the asset tracking portfolio. So we're driving that element pretty hard. And the good news is that we are seeing increased traction in multiple geographies, as I mentioned on one of the previous questions that are weighted towards premium fleet orders. So my expectation for this year, certainly as it progresses is to see our premium fleet contribution as a percentage of our subscriber or subscriber growth steadily increase.
Alex Sklar: Okay. Great. Thanks for that color. And then just following up on Matt's question, your answer to Matt's question, but how do you feel about kind of the team in place right now as it relates to the better bookings environment you referenced in North America and Europe do you have the sales team that you need and the staffing you need on the ground to capture that higher demand? Or could you look to hire some behind those green shoots?
Stefan Joselowitz: Yes, it's always a balancing act. I think we are - as we speak looking to expand the team. And we have this balanced approach to the way we approach all of our opportunities. But it's - if every sales person in our business performed according to plan, we would have an unlimited number of salespeople. So it's not every individual performs according to plan. So there's a constant process of endeavouring to improve the DNA, so to speak, of our customer-facing team, and that will certainly be an ongoing process. But as we speak, we are certainly in investment mode and looking to steadily increase the number of feet we've got on the street.
Alex Sklar: Got it. And then maybe one more for me. just on MiX Vision AI, just an update on kind of overall penetration levels. So what percent of your eligible installed base is taking that solution? And what's the right way for investors to think about the potential monetization opportunity over the next few years for MiX Vision AI?
Stefan Joselowitz: Yes. The opportunity is significant. It's certainly when we look at our premium fleet base, the fastest-growing component of our business, our current fleet penetration is relatively low. So every month, we're taking orders, not just from new customers, but from existing customers, which is exciting. Just returning to a quick comment on the FSM acquisition. We're seeing a lot of success with upsell of our cameras into that acquired base, so that's exciting. And I guess it was part of the initial plan, but it's encouraging to see a plan come together from that perspective. So we've got a long runway of opportunity, not only with new customers but with the existing customers as well.
Alex Sklar: Got it. And just one more. Jos, any way you can kind of characterize the ARPU uplift for like an FSM customer taking Vision AI on top of what they previously had?
Stefan Joselowitz: Yes, depending on the volume, kind of in the $15 to $20 ARPU per month uplift. So that kind of range.
Alex Sklar: Awesome. All right. Thank you all for the time.
Stefan Joselowitz: Appreciate it. Thank you so much.
Operator: Thank you. At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Jos for closing remarks.
Stefan Joselowitz: Thank you, Laura. I'd like to take this opportunity to thank everyone for listening to today's presentation. As you have heard, we remain focused and dedicated to providing value for all of our stakeholders. We firmly believe that we offer best-in-class fleet and mobile asset management solutions and are well positioned to continue scaling across the globe. I'm grateful for our customers, our shareholders and of course, our hard working team members who have made this all possible. And I truly believe that the best for us is yet to come. Thank you, everyone, and we look forward to sharing our second fiscal quarter results in a few months. Have a great day.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for participation.